Operator: Good day everyone and welcome to today's Nomura Holdings second quarter operating results for fiscal year ending March 2016 conference call. [Operator Instructions]. Please note that this telephone conference contains certain forward-looking statements and other projected results which involve known and unknown risks, beliefs, uncertainties and other factors not under the company's control which may cause actual results, performance or achievements of the company to be materially different from the results, performance or other expectations implied by these projections. Such factors include economic and market conditions, political events and investor sentiments, liquidity of secondary markets, level and volatility of interest rates, currency exchange rates, security valuations, competitive conditions and size, number and timing of transactions. With that, we would like to begin the conference. Mr. Shigesuke Kashiwagi, please go ahead.
Shigesuke Kashiwagi: This is Shigesuke Kashiwagi, CFO I will now give you an overview of our results for the first half and second quarter of the fiscal year ending March 2016 using the document titled consolidated results of operations. Please turn to page two, for the six month period net revenue increase 2% year-over-year to ¥760.6 billion, income before income taxes remained roughly unchanged at ¥125.9 billion and net income increased 59% to ¥115.3 billion as a result of a decline in tax expenses which I will explain in more detail in a moment. This level of net income for the first half is the second highest since this first six months of the year ended March 2002. Annualized ROE for the period was 8.4% and EPS was ¥31.26. All business divisions reported higher revenues and income for the first half supported by a strong first quarter. Our businesses are making steady progress as we work towards achieving the March 2020 management target announced last year. The transformation of our retail business model is gaining traction. Annualized recurring revenue was ¥78.3 billion up 30% from ¥60.4 billion in the second quarter last year. For the past year, asset management has reported ¥5.8 trillion of inflows and as of the end of September, assets under management had grown to ¥40 trillion. Wholesale reported stronger revenues as equities and investment banking offset a slowdown in fixed income. Ongoing initiatives to improve profitability has helped push down costs on a dollar basis. Today we also announced that dividend of ¥10 per share for shareholders of record as of the end of September. Our dividend payout ratio is 31%. Please turn to page 3 for an overview of the second quarter. Market conditions proved to be challenging in the second quarter with concerns over an economic slowdown in China and uncertainty around monetary policy in major markets causing turmoil in the equity markets and driving credit spreads wider. Second quarter net revenue was ¥336.6 billion down 21% quarter on quarter. Income before income taxes declined 81% to ¥19.9 billion and net income declined a 32% to ¥46.6 billion. ROE was 6.7% and EPS was ¥12.63. The reason that net income is higher than pre-tax income is that income tax expense for the quarter exceeded negative ¥28 billion meaning we received tax back. As noted at the bottom of this slide, Nomura Capital Markets has been used as our booking entity for derivatives transactions and we have consolidated our trading positions and risk there. We started revising our booking entity strategy in 2012 and have decided to wind up in NCM. As a result tax expenses declined in the second quarter because we booked approximately ¥54 billion in deferred tax assets in relation to an unrealized loss on NCM shares held by Nomura Holdings. Another extraordinary factor was the settlements with [indiscernible] of around ¥35 billion which was fully recognized in the second quarter. Income before income taxes from our three business segments was ¥53.8 billion down 35% from last quarter. Please turn to page 6, for an overview of each business starting with retail. Net revenue declined 12% to ¥115.7 billion while income before income taxes declined 28% to ¥36.7 billion. Sales of stocks increased significantly driven by contributions from primary deals but investment trusts and secondary market stocks were sluggish as investors sat on the sidelines due to sudden market corrections since mid-August. We continue to gain traction in transforming our business model. As shown at the top left of page seven, second quarter annualized recurring revenue was ¥78.3 billion roughly unchanged from the previous quarter despite the sharp market decline. By listening closely to the needs of our clients and providing them with asset planning and life planning services, we have been able to book. Net inflows into discretionary investments and steadily grow quiet assets in these products as shown on the bottom left. Sales of insurance products have also been solid as shown on the bottom right which is the result of meeting the assay [ph] planning and cash flow needs of our retail clients. Please turn to page 8 for asset management. Net revenue declined 15% to ¥22.9 billion on a drop-in assets under management in investment trusts due to market factors and as dividend income was not booked at this quarter. Income before income taxes declined 28% to ¥8.4 billion. In investment trust business we saw ongoing inflows into ETFs, Japan [ph] stock funds and products were discretionary investments. The investment advisory business won a mandate from a Japanese public pension fund to manage foreign bonds and we also saw a rise in mandates in Latin America. As a result assets under management remained at ¥40 trillion as of the end of September. Please turn to page 9, as you can see on the bottom left, the investment trust business booked outflows of about ¥400 billion with about ¥670 billion of outflows from MRFs and other funds and inflows of about ¥270 billion into core investment trusts. Investor demand for ETF is increasing and in the second quarter alone we saw around ¥1.3 trillion of inflows. As shown on the right we maintain a market share of nearly 50% and assets under management are growing steadily as a result our share of the public investment trust market has grown to 24.9% as you can see on the top right. Please turn to page 10 for an overview of wholesale, net revenue declined 6% to ¥192.9 billion and then income before income tax was down 56% at ¥8.6 billion. Equity flowed from a strong first quarter while fixed income revenues remained roughly unchanged amid slow-down in credit and securitized products. Investment banking reported stronger revenues on the back of revenue growth in Japan. Please turn to page 11 for performance by business line. Global markets net revenue declined 10% to ¥158.7 billion. Fixed income net revenue remained roughly unchanged at the ¥83.2 billion as rates in emerging markets FX offset the slowdown in securitized products and credit. As shown in the [indiscernible] right, the arrow for fixed income in EMEA is pointing up as revenues in old products increased, AEJ is also up on contribution from emerging markets FX and structure the credit but the Americas is down on a slowdown in securitized products and credit, while Japan is also down due to the market uncertainty. Net revenue in equities was ¥75.5 billion down 18% from the last quarter, as the heat map shows the Americas was up on the robust performance in the equity execution services business while EMEA and AEJ both slowed from the strong first quarter. Please turn to page 12 for investment banking, as shown on the top left, second quarter net revenue was ¥34.2 billion up 18% quarter-on-quarter, growth revenue which represents revenues before allocation throughout divisions and businesses was ¥63.1 billion representing the strongest quarter since the three months through December 2009, revenues were driven by Japan which reported substantial gains both quarter on quarter and year-on-year, the ECM business had a strong quarter and we won a number of mandates for foreign bond issuances by Japanese corporates. Internationally although revenues were down Q-on-Q due partly to seasonal factors revenues were up year-on-year amid the decline in the overall people, as shown on the right, the net revenue for the first half was ¥112.8 billion, regions posted revenue gains year-on-year by product [indiscernible] biggest contribution to the revenues and the momentum is improving even outside of Japan in EMEA and AEJ. Revenues from [indiscernible] in the solutions business all grew year-on-year further diversifying our revenue base. Please turn to page 13 for an overview of expenses. Second quarter non-interest expenses was ¥316.7 billion, compensation and benefit declined 4% thanks to cost reduction initiatives and lower bonus provisions in nine week performance, other expenses increased by 11% compared to last quarter due to an increase in expenses at the consolidated subsidiary and a charge on the decommissioning of IT systems. Please turn to page 14, total assets were ¥44 trillion. Growth leverage was 15.9 times and net leverage was 9.7 times. Our Basel III Tier 1 and Tier 1 common ratios were both 13.1% down 0.4 percentage points from 13.5% at the end of June this is because Tier 1 capital which is the numerator in the calculations declined due to the first half dividend payout and yen appreciation. At the same time on the denominated side of the equation risk assets increased due mainly to operational risk and credit risk. That concludes my overview of our second quarter. To sum up, I'd say client activity was impacted by the global market turmoil in the second quarter more recently in October while the market is recovering, client activity hasn’t returned to previous levels yet and we remain vigilant over the short term. Looking at our domestic business we are seeing a growing a trend towards investment as transactions with new clients have increased significantly on the back of large primary transactions executed over the past few months and individual investors shift funds parts in MRF into new investments to take advantage of the market dip. We continue to lay the foundation to achieve our 2020 management targets, our strategy won't be swayed by short term performance and we remain focused on what needs to be done to create a leaner earnings structure. Thank you very much for your continued support.
Operator: [Operator Instructions]. The first question is asked by Mr. Muraki from Deutsche Securities. Mr. Muraki please go ahead.
Masao Muraki: Regarding share buyback and also overseas business I would like ask questions, regarding share buyback last year in the same timing with the ceiling of ¥28 billion you announced share buyback but this time you didn't not announce share buyback, what's the reason behind that? In the first half, the one of extraordinary items include profit of 54 billion that entails different tax asset, so 31% of that is ¥17 billion of noncash against that dividend will be paid out. When you decide on share buyback non-cash based profit was it considered or did you look at PBR and the stock price and also did you take a look at the regulatory environment as I mentioned in the first half, first quarter and also did you also consider the profitability progress in October? When did you decide not to conduct the buyback of shares. As for overseas business page 22 shows profitability of overseas business and in the first half Americas was negative 22 billion, and EMEA without [indiscernible] about 10 billion of loss and 24 billion profit in AEJ and this fiscal year ¥50 billion in profit before tax is set us target in the first half against ¥50 billion target for overseas. The progress seems to be slow, three years ago when you think of fit for the future and there seems to be gap but do you see the gap widening or is it just a temporary thing because of the market environment and what do you foresaw in fit for the future is still relevant, could you comment on those things? Thank you very much.
Shigesuke Kashiwagi: As for your first question about share buyback, our basic policy remains unchanged. So as we have been saying from the past and as you covered correctly in your question the decision whether or not to buy back shares is based on the outlook on regulatory environment, now the share price and also our earnings environment. So we make a comprehensive decision and make, or conduct well balanced returns to stakeholders and 30% is a dividend payout ratio that we’re setting as our policy and the remaining 70% is used to add up or build up our capital or and to respond to the regulatory environment or be invested in our business or used to buy back shares. We will decide based on the situation at the time. This time regulatory environment and also ratings and also the business outlook in each aspect there was some clarity. So we think we made the right choice on the short term and chose not to buy back our shares. And in terms of your non-cash profits, that you pointed out in your question and whether that impacts our share buyback, well in a sense I myself do not make a distinction between non-cash and cash so 30% is the automatic payout that we are thinking of using in a policy and we will use the remaining portion to use. We'll use the remaining portion in share buybacks if we decide to do so. Your second question about the profitability of our overseas business in relation to the fit for the future and any discrepancy from the fit for the future well when we did the fit for the future, we planned to generate ¥50 billion this year but unfortunately we feel there are some distance to the ¥50 billion and we are aware of the 50 billion and we keep that in mind as a KPI but it does not mean that we will be taking risks, simply to achieve the ¥50 billion. So we're not using the ¥50 billion as a target for the sake of a ¥50 billion and we will not take risks for the sake of it. And we will build our business accordingly but one thing I can say is that in Nomura's business. The difference from two years or three years ago is that fixed income which is very strong have been hit by the widening of the spreads, so the environment is less favorable for fixed income. So in preparation for that when response to that we have been working on our equity business since last year and we have also been replacing some of the people in our trading businesses. And we are starting to see the fruits of these efforts bear fruit and so we are able to mitigate the losses from the widening of spreads in the fixed income business. And we will continue to manage our risks and control and costs adequately and also focus on pay for performance. Thank you very much.
Masao Muraki: Regarding the second question, three years ago you made an assumption about the revenue pool for each region and also for each business line, you assumed profit and if there is gap between the assumption and the reality regarding the adjustment will there be mild adjustments that you’ve made so far being sufficient so far?
Shigesuke Kashiwagi: Yes since I became CFO 2.5 years ago I have been saying that. Compared to the western financial institutions, I don't want to be rude but compared with them we have advantage of position in terms of balance sheet and also we are strong in our home country. So our basic view remains unchanged. We believe we are at an advantage, but the restructuring by the western financial institutions did not take place as much as possible. So we were not able to gain as much market share as we expected and another unexpected item is that we were expecting to gain businesses and share as our competitors retreat. But the U.S. financial institutions are doing quite well. And in terms of the last point about the - I don't exactly remember your question but in terms of the discrepancy between our initial outlook and future and the current situation and whether we have to make dynamic adjustments or not the answer would be our adjustments do not have to be dynamic and we will make gradual adjustments as necessary and. And I do not feel the need to make dynamic adjustments or restructuring.
Operator: The next question will be asked by Natsumu Tsujino from JPMorgan. Please go ahead.
Natsumu Tsujino: Regarding the fig, looking at heat map, Japan is down, it's down by 50% possibly. What's the background and how do you foresee the month of October also the USA, according to the heat map the arrow is trending flat. According to Bloomberg, there were news reports about people believing recently in the USA for the recovery of profit in fig, what kind of measures are you taking and in the third quarter what kind of results are you expecting to achieve. What kind of expectations should I have? That's the second question. My third question is about the new accounts in Japan. Looking at the pace of increase in new account being opened in page 27, there is an over double pick-up first there is impact of Toyota and [indiscernible] shares and also in October related to Japan polls opening, there must be an increase in the opening of new accounts. So down the road what kind of expectations do you have? Could you comment on those? Thank you.
Shigesuke Kashiwagi: First of all fixed income in Japan and the revenue decline, well for rates business client activity has slowed down and throughout the period revenue opportunities were limited. As for credit, Japan saw widening of credit spreads like in the other regions and client activity was also slow for credit. For FX volatility was low and business there was not much business going on. So the fundamentals are strong, but client activity was slow, that’s the situation in Japan. As for October in Japan we are seeing improvement, a gradual improvement and for the Americas there are various reasons for this performance. One is the widening of the credit spreads and there were losses from the trading inventory and in terms of client flow there has been a big decline in the U.S. And the question is whether this is short term or whether we’re going to see a sharp recovery in Q3, I don’t think we can be too optimistic on that and your concern about people leaving then yes there has been some media coverage about that and sometimes the tone is quite negative but we don't see it that as being that negative and in fact we are in some cases asking people to leave and even when people leave we are able to hire replacements. So the first people issue is not that much of an issue for us. The credit spread widening has taken place but now it seems to be stabilizing and the thing that has not come back is the client business. And last August, things were quiet and there was not much volatility but it suddenly picked up in September and in October the volatility increased, that's what happened last year. So it's hard to foresee what's going to happen in the near future. But as I said earlier the three points and it's not [indiscernible] person or it's not a talent issue, person issue and the spreads are in a favorable condition at the moment. But the client business has not really picked up, that's the main factor. And your third question about new account openings in the retail business. Yes, there was impact from Toyota. There was some impact in the June quarter and also in July which is in the second quarter. It was more impact in July and if you see the trend line, there has been increase of about 20,000 but in the past there was 50,000 increase so you can guess the impact of Toyota from the difference of these figures. As for a Japan post, I think we are able to do double the usual rate and this has started to be seen from the end of September, the positive impact from JV. And we would like to harvest the openings of these news accounts and secure a new business but frankly we have not really been able to do that yet because our retail branches are so busy. They're working overtime. So they don't have time to work on other products because they're so busy with JP and I think they are handling record levels of transactions. So the question is next month onwards whether we can expand business with these new clients and how much money these clients have, what kind of needs they have. We have to start discussing with our clients about these issues. And that's what we will work on from November onwards.
Natsumu Tsujino: Usually, so three months figure, 100,000 accounts or 90,000 accounts for those who are - so looking at 1/3rd of that probably in one month maybe [indiscernible] on what you usually achieve over three months was achieved is that what you’re saying?
Shigesuke Kashiwagi: My answer earlier may have been misleading but I was looking at the accounts with balance, but in terms of the new openings of accounts it's not exactly double, but we still have a few days in October. So we have to see what happens in these days but the feel that we get in retail is double.
Operator: The next question is going to be asked by Takehito Yamanaka from Credit Suisse. Please go ahead.
Takehito Yamanaka: My question is similar to the questions asked, so there may be some overlap, but regarding fig earlier according to your explanation in relative terms your capital standing is strong and in regulatory environment the opposition advantageous. So your business model has been continued. On the other hand European players shares were picked up by American players. Now regulatory environment is becoming unclear, and even though you say the home country is strong but Japan is more in terms of the percentage of the people. So for the Nomura, the contribution from Japan will be limited and if you continue with the current model with ¥50 billion target or whatever internal target you may with the current model in place and are you okay with your business?
Shigesuke Kashiwagi: Our management target is EPS ¥100 in 2020 and we will continue working on that plan and March 2016 is one milestone and we were supposed to achieve ¥50 billion in the overseas PTI this year and we are working on revamping of the IB business and also the equities business. And we have been making that necessary investments and investment banking in EMEA and also equities on global basis has been improving and fixed income which has been supporting these positive trends will continue to maintain its earnings capability, but as I said earlier there has been the trends that we have seen in the interest rates. So things are getting tougher and as I answered [indiscernible] question earlier, the western banks are starting to announce their restructuring plans and meanwhile Nomura with its strong capital base and with fewer competitors I do not feel the need to restructure our business or change our earnings model. As for the market share in fixed income in the Americas when the U.S., right now we have moved up to rank nine, in the past we were below 10 and we were not in the Top 10, but now we have moved up to number nine. But of course there is a huge gap between number eight and number nine. So I do not see Nomura becoming number eight at all. I think there is a fair chance we will continue to gain market share from the stronger players. As for rates as I said earlier we have changed our structure in EMEA and we have also had the trading hedge in the U.S, so in New York. So our revenue structure has really changed a lot since last year and the FX business in the emerging markets, the G10 and the emerging has been separated and for emerging we are getting [indiscernible] person to overlook the rates and effects and we are seeing clear signs or clear changes as a result of this. If we can keep working in this direction, I think there is a lot of room for improvement and for securitized products the question is how to control the risks for these products while expanding our business franchise and we'd like to see how our peers retrench or withdraw from their business. And I think that will really create opportunities for the Nomura.
Takehito Yamanaka: I want to ask additional question regarding the last part of your answer, regarding the securitized products when you do the strength and the risk management in securitized products are you seeing emergence of issues in securitized products area?
Shigesuke Kashiwagi: On risk weighted assets perspective securitized product use up a lot of risk. So it's important to have a very strong client franchise and we generate money through our trading activities and we have to keep monitoring the turnover of our inventory, I would like to instruct our people to do that.
Operator: The next question is going to come from [indiscernible].
Unidentified Analyst: I have two questions. First question is about the recent performance of the domestic retail business, the sales of investment trust. Is it trending compared to its September, earlier you talked about the increase in the Japan post deal related to transactions, what's the recent trend. That second question is about page 13, about compensation and benefits. On the year-on-year it's increased but other than normalization of FCR [ph], is there any other factor?
Shigesuke Kashiwagi: Yes, in relation to investment trusts and this applies to the entire retail business, but July, August September. Things tend to be slow or things are getting slower and October, the pace has not really picked up and this is due to the market environment and the retail division is putting in a lot of time and effort in taking care of our clients. And also the sale of the JP as I've mentioned and this is very time consuming because we are selling the shares in small lots. So we are seeing some impacts not of just from investment trust but to other products in retail other businesses in retail. As for your second question about the compensation and benefits in Q2 I think you're referring to, just a minute please. On a year on year basis, this is mainly currency issue or currency impact and as for the impact from this SCR [ph] which you mentioned the impact is limited.
Operator: The next question is Mr. [indiscernible]. Please go ahead.
Unidentified Analyst: I’ve one question only on page 21 of your presentation, you're showing that stock brokerage commissions declined from ¥78.7 billion in the first quarter to ¥71.3 billion in the second quarter so is a decline of about 10% and yet the trading value on the Tokyo Stock Exchange actually rose about 3% to 4% from the first quarter to the second quarter. Could you explain this, I would say inconsistency or discrepancy between the decline in your stock brokerage commission and the increase in trading value on the [indiscernible]. Thank you.
Shigesuke Kashiwagi: Your question related to the brokerage commission on page 21, this includes not only the Tokyo stock exchange transaction volume but also the other brokerage commission generated in our overseas offices including I think internet and - as for the equity transaction with retail brokerage I understand - we have seen an increase in the transaction volume during the quarter that is driven by the transaction through the internet brokerage funds and also internet brokerage capability rather than the face to face high margin commission execution.
Unidentified Analyst: Is it fair to say that the face to face customers are not as active in the second quarter versus the first quarter despite the overall increase in activity on the TSE as shown in the data which was about a 3% to 4% increase in trading value.
Shigesuke Kashiwagi: If I remember the question I think that there is a significant change in the atmosphere on the clients activity after probably fourth week of the August. We observe the cost of the Chinese market in August so I think if I remember currently and the first one week the transaction was very active with retail clients, but after a lot of the people got nervous about what's going on in the market and sidelined compared to the day to day brokerage traders.
Operator: Next question is going to be asked by [indiscernible].
Unidentified Analyst: I have two questions, regarding Nomura Capital Markets liquidation, in the next quarter onward what kind of impact will there be such as regional profit also effective tax rate, what kind of impact will there be from next quarter onward and second question is the fig equity in global markets in the month of October, what's the current status?
Shigesuke Kashiwagi: To answer your first question about the tax issue of NCM, this is a one off event. So there will not be an impact in the next quarter onwards. Your second question about fig and equities and there are some differences by region. Japan AEJ as you mentioned, meanwhile EMEA and Americas made a very slow start.
Unidentified Analyst: So tax item is one-off I understand that and after winding up then booking will take place somewhere else moving forward and because of that regional profitability will be affected by that?
Shigesuke Kashiwagi: Well that'll be a really long story but basically I think we have stopped booking new transactions in this putting entity about a year and a half ago and since then we have set up a new booking entity in Tokyo and we have been transferring the risks from London. So we have not been looking you transactions at in NCM and since then we have been using the NFPS entity in Tokyo and NFPS [ph] has been directly facing our clients in the September quarter and we have shifted about 10 major clients to this new platform. So right now the Tokyo entity called and NFS is facing our clients. So to answer your question NCM was actually not coming up in our figures in the past and it will not do so in the future either and the difference between Q1 and Q2 is the fact that an NFPS started facing our clients directly.
Operator: The next question is asked by Futoshi Sasaki from Merrill Lynch. Please go ahead.
Futoshi Sasaki: I’ve two questions. This time as one of items you've explained NCM regarding NCM, what Nomura Securities held of the equity holdings, the unrealized loss is that to the gain, if so then the Nomura Securities and taxable income changes is the gain from liquidation change. The second question is without this extraordinary items but the level of net income, the superficial net income plus 35 billion in cost for MPS [ph] settlements and 54 billion gained from NCM liquidation. So those are the other factors to be considered when we think about the tax effect.
Shigesuke Kashiwagi: As for your first question, you said Nomura Securities, but actually it's Nomura Holdings, Inc. and going forward no there will be no increase or decrease. Your second question, I didn't really quite understand what you were after which I don't think it's meaningful to discuss which one off item is included which is not and also the post increase decline in OCV being our business. And what we usually focus on the most is whether the revenues or earnings of our three businesses increased or decreased and in this period the PTI of the three businesses was ¥53.8 billion which was weak.
Futoshi Sasaki: Regarding [indiscernible], ¥25 billion, is it directly impacting the net impact - that was the question I wanted to ask about, can you talk about that?
Shigesuke Kashiwagi: The ¥35 billion is directly impacting our bottom line and that is included in others or other.
Futoshi Sasaki: One more additional question, regarding profitability, it's hard to carve out the profitability of overseas business alone but the profitability of overseas business in Q2 seems to be in negative territory. With this number - how would this number trend in the third quarter onward, after October based upon the recent trend how do you foresee that trend?
Shigesuke Kashiwagi: Well basically ¥50 billion from overseas is what we have been saying. So our quarterly income is 1/4th of that, that is what we have in our heads and meanwhile we can also talk about the markets and also the environment and. I think I answered someone's questions earlier but the three regions, overseas right now AEJ is doing quite well in terms of its performance, but EMEA and the Americas made a slow start to the year. So we believe that’s a challenge.
Operator: The next question is asked by Koichi Niwa from SMBC.
Koichi Niwa: I have two questions. The first question is about the impact of the liquidation of the subsidiary. From around the beginning of this fiscal year were you able to foresee this happening separately from this - what's the volume of tax effect, you are not being able to capture. How much of that are you - will you be able to capture with them next year? Next question is about the retail business in Japan, earlier you talked about the purchase from the smaller cones but would the main part of the sales force through additional channel so far, Nomura Securities or any other channels of sales.
Shigesuke Kashiwagi: So your first question whether it was visible from the beginning of the fiscal year. As I explained earlier NCM was not being used and we knew that there was a chance that we will wind up NCM at some point. Yes that was on our mind, but we made that decision in relation to the transfer to NFPS and that being a success and NFPS was able to face professional customers or clients properly. So that's why we decided to wind up in NCM. So that's what the second part of the question about whether they are tax effects that we are not being able to capture, no. And your second question about the domestic retail business whether we need new channels, well no nothing is on our mind in terms of immediate changes that are needed and if you're saying that for a very high net worth clients that wealth management business has to cover them. And meanwhile we should also focus on low cost of sales like using the Internet. I don't know what you're referring to, I think it's more the latter in relation to the Internet based channel but no we do not have plans to focus on that channel at the moment. There are sales people who are covering our clients. So as we have been in the past the salespeople will continue to cover these clients. And we don't see a sudden shift to the Internet.